Operator: Ladies and gentlemen, good morning. My name is Abbei, and I'll be your conference operator today. I’d like to welcome everyone to the Express Incorporated Conference Call to discuss Fourth Quarter and Full Year 2022 Earnings. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. And I now like to hand the call over to Greg Johnson, Vice President of Investor Relations. Please go ahead, sir.
Greg Johnson: Thank you, operator. Good morning, and welcome to the Express earnings conference call and webcast to discuss the announcement of our fourth quarter and full year 2022 results. Express' fourth quarter and full year 2022 earnings release and presentation can be found in the investor relations section of express.com. These items will be archived and our call will be available for replay. I'd like to open by reminding you of the company's Safe Harbor provisions. Today’s call may contain forward-looking statements. Any statements made during this conference call, except those containing historical facts may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those suggested in forward-looking statements due to a number of risks and uncertainties. For a description of the risk that could cause our results to differ materially from those described in forward-looking statements, please refer to our 2021 Form 10-K and other filings with the SEC. These risks and uncertainties are further detailed in our earnings press release that we issued this morning. These statements represent our current judgment and are subject to risks, assumptions, and uncertainties. Express assumes no obligation to update any forward-looking statements whether as a result of new information, future events, or otherwise, except as required by law. In addition, we may refer to certain non-GAAP measures. You can locate a reconciliation of any non-GAAP measures discussed in our comments to amounts reported under GAAP in our earnings release. We will also be providing financial comparisons to prior fiscal periods and our prepared remarks today refer to comparisons to the corresponding period in 2021 unless otherwise noted. Please see the explanatory note in the earnings release for additional details regarding the definition of certain items. With me today are Tim Baxter, Chief Executive Officer; Matt Moellering, President and Chief Operating Officer; and Jason Judd, Chief Financial Officer. I will now turn the call over to Tim.
Tim Baxter: Thank you, Greg and good morning, everyone. We delivered full year 2022 diluted earnings per share of $4.25 after completing the transaction with WHP Global. This transformative strategic partnership begins a bold new chapter for our company. As a part of the transaction and reflecting the intellectual property of the Express brand that we contributed to the joint venture and to the private sale of a pipe investment, which WHP Global used to acquire 5.4 million newly issued shares of our common stock, we received proceeds of $260 million, which repositioned our company financially, and we are now beginning to reposition our company strategically. We intend to first achieve profitable growth in our core Express business. Second, to optimize our fully integrated omnichannel platform to create synergies and drive efficiencies across a portfolio of brands. And third, to accelerate our growth and profitability in partnership with WHP Global by scaling the Express brand through category and international licensing, and by acquiring and operating other fashion brands. We will accomplish these objectives by operating with consistent, rigorous, sustainable financial discipline, and we are fully committed to creating shareholder value. Our comparable sales were flat for the year, with negative comps in the back half offsetting gains in the first half. Our strategy to elevate our brand with higher average unit retails and reduced storewide and sitewide promotions, which had driven steady growth for five consecutive quarters through Q2, bumped up against reduced consumer spending, increased price sensitivity in discretionary categories and aggressive promotional activity across the industry. In addition to these external headwinds, we had some self-inflicted misses in our women's assortment architecture. We lacked depth and breadth across certain categories and products. We were out of balance in dressy versus casual, in core versus fashion, and in good, better, best pricing. Over the last three years, our ability to react quickly has been inhibited by the industry's supply chain challenges. Now that we have effectively mitigated most of those challenges, our receipts are arriving on time or in some cases earlier than expected, and we are responding to consumer trends in behavior with greater speed. We recalibrated with urgency to address the imbalances in our assortment architecture late in the third quarter. We have chased, restructured, and corrected our core assortments, and these categories are already generating a significantly higher portion of our sales. These recalibrations will accelerate as we move through the spring and be fully realized in Q3. Our outlook for 2023 reflects improved sales trends as we move through the year. In 2022, we continued to advance the EXPRESSway forward strategy, and while our women's business was challenged, our men's business delivered a record year. We drove positive comps of 12% and growth in all major categories. Our brand purpose is resonating, and our styling community is growing. We are operating with the highest number of loyalty members in our company's history and see strong spend per customer, but fell short of our customer acquisition targets and are adjusting our marketing strategies to address this. Turning to performance by sales channel. Our retail and outlet stores outpaced eCommerce throughout the year. Express factory outlets performed well with a positive 4% comp and record sales and profit in 2022. These results further underscore the current consumer expectation around value. Retail stores delivered a 5% comp for the year, with our in real life pilot stores outperforming the balance of our fleet. We opened six new Express Edit concept stores in New York, Miami, Boston, and Philadelphia. Our Express Edit stores are acquiring new customers and loyalty members and outperforming the balance of our fleet on these metrics, as well as boosting digital sales in surrounding zip codes. Our eCommerce business slowed significantly as the year progressed as customers returned to shopping in our stores. eCommerce sales were also impacted by the challenges in our women's business, which is highly penetrated online. As the women's business has improved, we've seen a corresponding lift in this channel. We remain committed to delivering a billion dollars in eCommerce demand, but given the industry-wide slowdown in online sales, this may take more time than we originally anticipated. The macro conditions in the back half of 2022 were challenging, and because we expect these conditions to continue, we have identified $40 million of annualized expense savings. $30 million will come from reductions in our SG&A cost structure. The remaining $10 million comes from interest savings due to the elimination of our high interest term loan, which we paid off in January. We expect inflationary headwinds as well. So, this is just the first phase of aggressive, productive cost savings and expense reductions in order to safeguard our commitment to achieve a mid single digit operating margin. At an upcoming investor event, we will share more detail about our expected cost savings and expense reductions, including how and when they will be realized. We are fully committed to the EXPRESSway forward strategy, and our teams remain focused on the initiatives advancing our objectives. We have been agile in our approach and continue to both respond to and navigate the macroeconomic consumer and competitive environments. We remain confident in our stated goal of long-term profitable growth in the Express brand. Now, let me turn to the other aspects of our transformation beyond our core Express business. We intend to fully optimize our integrated omnichannel platform to operate and grow a portfolio of fashion brands. We will leverage our streamlined, flexible, go-to-market model and apply our capabilities in sourcing and production, logistics, real estate, technology, finance, and human resources to create synergies and drive efficiencies across the portfolio. We also intend to accelerate our growth and profitability in partnership with WHP Global by scaling the Express brand through category expansion and international licensing and by acquiring and operating other fashion brands. We will be disciplined in our approach to acquisitions, with a focus on generating compelling returns on our investments and delivering against a clear set of strategic criteria, including profitable growth potential, synergies through our operating platform and new capabilities. Already a part of the Express brand portfolio, UpWest will also accelerate our growth. While still small, UpWest had a great year with sales growth of 43%. Digital sales continue to grow rapidly, and we have expanded the brick and mortar fleet to a total of 13 stores. UpWest also successfully launched its first wholesale relationship with Nordstrom in 2022. Now let me turn the call over to Jason, who will take you through additional aspects of the WHP Global partnership, as well as the detail of our fourth quarter and full year results and provide our outlook for 2023.
Jason Judd: Thank you, Tim and good morning, everyone. Before I review our core Express business results for Q4 and the full year, let me speak briefly about the transaction we closed in January with WHP Global. As Tim said, this is a transformative partnership which repositioned our company financially. Upon closing, we received $235 million in gross proceeds in exchange for contributing intellectual property assets to the joint venture. We also received $25 million in proceeds from the private sale of a pipe investment, which WHP Global used to acquire 5.4 million newly issued shares of our common stock, representing an approximate pro forma ownership of 7.4%. The $260 million in proceeds immediately strengthened our balance sheet and provided us with capital to repay our $90 million term loan, eliminating $10 million in annual interest expense and fund the first year guaranteed minimum royalties of $60 million to the IP joint venture. We will use the balance of the proceeds to invest in the EXPR platform and in future M&A opportunities. We are beginning the next phase of our company's transformation to create shareholder value. And the most important way we will do this is by achieving sustainable, profitable growth in the Express brand. In order to realize the object to reimagine our financial architecture in some significant ways, growing the top line, operating with financial discipline and realizing expense savings. In 2023, we intend to deliver $40 million of expense reductions to offset the $40 million of net royalty paid to the IP joint venture. $10 million will come from the interest expense savings I just mentioned, and the remaining $30 million will come from reductions to our SG&A expenses.  Moving to our results. We delivered full year 2022 comparable sales, gross margin rate, SG&A expenses as a percent of sales and adjusted diluted loss per share, all within the ranges of our previous outlook. We expected and drove flat comparable sales in 2022 despite negative 13% comps in Q4. We expected and realized a 150 basis point decline in our full year gross margin rate, including our Q4 gross margin rate of 23.9%. We expected our 2022 SG&A expenses as a percent of sales to delever approximately 200 basis points, and we actualized at 220 basis points.  Our full year GAAP diluted earnings per share was $4.25. This includes the after tax impact of the $409 million gain on the transaction with WHP Global. We expected an adjusted diluted loss per share of $1.18 to $1.22 in 2022. And after adjustments, we actualized at a loss of $1.21 per share. Moving on to the balance sheet. We expected our inventory to decline sequentially and move closer to parody with quarterly sales changes. Our inventory was up 2%, which was a meaningful improvement from the 10% increase in Q3. As we moved through the month of January, our inventory levels were down 6%. However, we received $26 million of fresh product in the back half of January, which was earlier than expected due to improved supply chain conditions, and we began to see improved results immediately upon receipt of that product, particularly in women's. Our balance sheet at the end of the year includes the $52 million CARES Act receivable we have mentioned before, and which we expect to receive in 2023. Borrowings against our asset based lending facility at year-end were $122 million, and we had $66 million of cash and cash equivalent on hand and $148 million available on the revolver. Turning to our outlook for 2023. We considered our 2022 performance as well as the advancements we have made in our four foundational pillars and balanced those factors against the persistent challenges of the macroeconomic and retail apparel environments. Our outlook includes expectations for the first quarter and the full year of 2023. Let me start with Q1. Compared to the first quarter of 2022, we expect the following: Comparable sales of negative low double-digits; gross margin rate to decline approximately 850 basis points; SG&A expenses as a percent of sales to deleverage approximately 500 basis points; diluted loss per share of $0.70 to $0.80; inventory to move closer to parody with sales trends as the year progresses. Compared to full year 2022, we expect the following: Comparable sales of positive low single digits; diluted loss per share of $0.85 to $1.05; capital expenditures of approximately $55 million. At an upcoming investor event. I will share more about our expected growth trajectory over the next several years, and we'll explain how we expect the combination of a compelling strategy, exceptional execution, and a comprehensive and achievable financial roadmap will create long-term shareholder value. And now let me turn the call back to Tim.
Tim Baxter: Thank you, Jason. We are beginning a bold new chapter of our transformation and have a clear strategic roadmap. We intend to first achieve profitable growth in our core Express business. Second, to optimize our fully integrated omnichannel platform to create synergies and drive efficiencies across a portfolio of brands. And third, to accelerate our growth and profitability in partnership with WHP Global by scaling the Express brand through category and international licensing, and through the acquisition and operation of other fashion brands. We will accomplish all of this by operating with consistent, rigorous, and sustainable financial discipline to create shareholder value. This will be our President and Chief operating Officer, Matt Moellering's last earnings call. As we announced earlier this month, he will be retiring in May. For the past 20 years, Matt has been a driving force behind each stage of the company's evolution. He played an instrumental role in taking the company private and taking the company public. His tremendous institutional knowledge and steady hand have provided continuity for our organization over a very long period of time. In the last three and a half years since I joined the company, Matt has been an extraordinary thought partner, someone who's experienced and perspective I have valued a great deal. He helped to launch and advance our EXPRESSway forward strategy, helped steer our organization through the pandemic, and played an integral role in the formation of our new partnership with WHP Global. I want to thank Matt for his leadership, his guidance, and his many contributions, but most of all for his support and positioning our company for the next chapter of our transformation. I know I speak for our entire organization when I say thank you, Matt. And now I'll turn the call back over to the operator, so we can take your questions.
Operator: Thank you. [Operator Instructions] We will take our first question from Eric Beder with SCC Research. Your line is open.
Eric Beder: Good morning.
Jason Judd: Good morning.
Tim Baxter: Good morning, Eric.
Eric Beder: In terms of the joint venture at WHP, what are you assuming from that in your 2023 guidance? And what should we be thinking about in terms of the acquisition criteria in terms of potentially, are you looking forward immediately these acquisitions to be immediately accretive.
Tim Baxter: Eric, thanks for the question and I'll answer the first half on the -- what's included in our outlook and then turn it over to Matt to talk through the decision criteria. So, within the outlook, within gross margin, we will be impacted by the $60 million of guaranteed minimum royalty. And then within operating income, there will be our share of distributions from the joint venture back of roughly $20 million. So the net impact associated in the P&L outlook is $40 million on the year.
Matt Moellering: And then on the second piece, what we are looking for our acquisitions that do a couple things. One, provide profitable growth opportunity going forward, opportunities that provide significant synergy opportunities for us, acquisitions that provide new capabilities and that are complementary to our Express fashion business as well. All four criteria don't have to be met, but we are looking for opportunities that meet one or more of those requirements and that are significant return on investment opportunities for Express. Will they all be accretive in the first year? I wouldn't say all of them will, but they all will drive significant economic profit over a very short period of time, and that's what we're looking for in opportunities.
Eric Beder: Okay. And in terms of what we're seeing in the product, you've seen a number of items come in in terms of fashion basics for both men and women. What should we be seeing in terms of penetration going forward? And how -- what should we thinking about in terms of the margin opportunities for those items versus the regular items or the fashion items?
Tim Baxter: Yeah. Well, obviously, our core assortments generate higher margins than our fashion deliveries. And that as I said during my prepared remarks, Eric, we had imbalances, particularly in our women's business between core and fashion. The reality is that the fashion that we delivered in women's sold very well. We just did not have the appropriate depth and breadth in our core categories to drive the volume that we needed to drive. And so, we have, as I said, reacted with great urgency to correct all of those imbalances in the women's assortment. And we're seeing improvement, as you said, as we see our core categories and the depth and breadth of our core categories coming back to life in our stores and online. So, our outlook that we've shared for the year indicates a sequential improvement as we move through the year in both sales and profit. So, we are, obviously, expecting that the corrections that we've made to the imbalances in the assortment, particularly in women's, are going to really reverse the sales trends that we saw in the fourth quarter.
Eric Beder: Great. And one quickie, you mentioned about the licensing. I understand what's going in there. So, if you sign agreements for more international territories or for categories at the joint venture size, that would be incremental to your guidance. Is that how you should be thinking about that?
Tim Baxter: That is how you should be thinking about that. Yes.
Matt Moellering: Yeah. Our current guidance includes no impact from our relationship with WHP Global other than the royalty payment, which Jason described earlier.
Eric Beder: Great. Thank you and good luck for the 2023.
Tim Baxter: Great. Thank you, Eric.
Operator: [Operator Instructions] And we will take our next question from Dana Telsey with Telsey Group. Your line is open.
Dana Telsey: Good morning everyone and Matt… 
Matt Moellering: Hi, Dana.
Dana Telsey: …best of luck. Hi. Matt, best of luck in your next chapter. As we're looking at …
Matt Moellering: Thanks so much.
Dana Telsey: No problem. As we're looking at the results today, Tim, and where you are, and obviously identifying the issue with the women's business, as you look through the cadence of the year for improvement, what should we be seeing in that women's business and how you're thinking about maintaining the momentum of the men's business? And then I have a follow-up.
Tim Baxter: Sure. So, what we should be seeing in the women's business or what you should be seeing in the women's business is improved balance in the assortments. So, improved balance between dressy and casual, improved balance, particularly in tops, and that is across silhouette and across price points. So, you'll see -- you should see improved balance in good, better, and best pricing across our tops assortment. And you should begin to see great iterations of all of our iconic styles. And I want to be sure -- Marni asked on the last call, she doesn't want to see Portofino walls and the Portofino is one of our iconic styles, and the team has done a phenomenal job of iterating against all of our icons. So, as we move through the year, you'll begin to see better balance in the assortments. You'll continue to see great fashion deliveries, which have continued to perform well for us. And you'll see the reimagining of all of our icons across all of the categories and a reintroduction of many of those icons across the categories in the women's business. In the men's business, it's really all about, to your point, sustaining the momentum that we have seen over the past several years. And that strategy is not different than women's, except that it is about sustaining not turning around. We've had great balance in our men's assortments. We have grabbed market share in categories that were previously not core categories for us, like denim, like knits, like men's chinos. And so, you'll see us continuing to take market share across all categories in men's and continuing to drive the businesses that we’re very well known for, like men's suits. We had a fantastic year in men's suits and men's dress shirts. Another fantastic year in men's dress shirts. And the same thing that I talked about in women's where we are sort of reinventing and reintroducing our icons will also be happening in men's. We've recently introduced several iterations of our iconic 1MX shirt in men's, and each one of those has performed extraordinarily well. So, you'll continue to see us doing that throughout the year too.
Dana Telsey: Got it. When I look at channels, looks like the eCommerce business declined more than the stores channel and outlet performed better than some of the regular retail stores. How you're planning the different channels? What did you see in the components of the comps, whether it's traffic conversion? And then on the merch margin, which is I think impacted by 280 basis points, which is a little bit better than the 360 in the prior quarter, how do you see that moving forward? Thank you.
Tim Baxter: So, from a channel perspective, Dana, certainly we did experience a slowdown in our eCommerce business as the year progressed, as we moved through the year, culminating in that more significant drop in the fourth quarter. I think two things are happening in eCommerce. Number one, we've seen and heard from many of our competitors a similar story about some pretty aggressive slowdowns in the eCommerce business in 2022 as consumers returned to shopping in stores. Something that hadn't happened for a couple of years, while we were living under the influences of the pandemic. So, I think that was part one of our eCommerce challenge.  The second part was the challenges that we faced in our women's business, which is very highly penetrated online. So, as we make the corrections that we have made and continue to recalibrate our assortments in women's, we anticipate our eCommerce business improving. And we have already seen a corresponding lift in that channel as we've corrected our assortments in women's. I would expect that to continue as we move through the year, and I would expect our eCommerce business to improve sequentially, just as we have outlined in our outlook. I also expect our stores to continue to perform well. You mentioned the outlet stores, that channel, I think it's very clear that the consumer demanded value in the fourth quarter. That channel was performed better than our other channels in the fourth quarter. And I think that's clearly because we offered really exceptional value in that channel. And our retail stores, we bumped up against a consumer who -- was demanding really aggressive promotion, particularly since our average unit retails were substantially higher than they have been in the past. So, as a part of recalibrating the assortments, we're also addressing those things. So, I expect our store's performance to continue to improve as we move through the year as well. We've also got some exciting things happening in stores. Our in real life pilot, I mentioned that that is a pilot that we have - we put in place bit over a year ago so that we could learn about how we could create a much, much better experience in our stores for our consumers to drive conversion to higher levels. We're seeing better results in those stores than in other stores. And we are -- so we are tweaking that model, and considering rolling that out to additional stores when we are confident that we've got the financial model correct. And I'll let Jason, speak to the gross margin part of that question.
Jason Judd: Yeah. With regard to merchandise margin, as we look through the year, it's really a story of increasing balance to steal Tim's word. So, we will be seeing in the back half of this year costing improvement on a like-for-like product basis year-over-year. We are seeing that in the POs we are writing right now. And I think that that is very aligned with what we're hearing in the market. On the other side of the story is the fact that this value customer we expect to stay with the market for what I'll call the near term, so over the next number of quarters. And definitely need to see a set of price points attractive to them that would offset some of the costing benefits. Now it's not a full offset, because typically this is handled through markdown, but to Tim's point on balance, this is also handled by giving that broader balanced assortment into our core, not just the fashion that they're looking for. And so, do expect to have, as indicated with our EPS guidance on the year attrition in the merch margin rate, a lot of that's driven in Q1, which we talked about, and then balance achieved by the end of the year.
Dana Telsey: Thank you.
Tim Baxter: Okay. Thanks Dana.
Operator: And that is all the time we have for questions today. I will now turn the call back to Mr. Baxter for his closing remarks.
Tim Baxter: Thank you all for joining us this morning and for your continued interest in our company.
Operator: And ladies and gentlemen, this concludes today's conference call and we thank you for your participation. You may now disconnect.